Executives: Georgios Karageorgiou - Director, President, CEO and CFO Nikos Kalapotharakos - Financial Controller
Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Globus Maritime Conference Call on the Fourth Quarter and Full Year 2014 Financial Results. We have with us Mr. George Karageorgiou, President and Chief Executive Officer; and Nikos Kalapotharakos, Financial Controller of the Company. At this time, all participants are on a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions]. I must advise you that this conference is being recorded today. This communication contains forward-looking statements as defined under U.S. Federal Securities laws. Forward-looking statements provide Globus' current expectations or forecast of future events. Forward-looking statements about Globus’ expectations, beliefs, plans, objectives, intentions, assumptions and other statements that are not historical fact or that are not present facts or conditions. Words or phrases such as anticipate, believe, continue, estimate, expect, intend, may, ongoing, plan, potential, predict, project, will or similar words or phrases or the negatives of these words or phrases, may identify forward-looking statements, but the absence of these words does not necessarily mean that a statement is not forward-looking. Forward-looking statements are subject to known and unknown risks and uncertainties and are based on potentially inaccurate assumptions that could cause actual results to differ materially from those expected or implied by the forward-looking statements. Globus' actual results could differ materially from those anticipated in forward-looking statements for many reasons specifically as described in Globus' filings with the Securities and Exchange Commission. Accordingly, you should not unduly rely on these forward-looking statements, which speak only as of the date of this communication. Globus undertakes no obligation to publicly revise any forward-looking statement to reflect circumstances or events after the date of this communication or to reflect the occurrence of unanticipated events. You should, however, review the factors and risks Globus describes in the reports it will file from time-to-time with the Securities and Exchange Commission after the date of this communication. And now I pass the floor to one of your speakers today, Mr. Karageorgiou. Please go ahead, sir.
Georgios Karageorgiou: Welcome to our conference call, and thank you for joining us today in order to discuss Globus' operating and financial results for the three months and 12-months ended December 31, 2014. I’m George Karageorgiou, President and CEO of Globus Maritime, and with me today is Nikos Kalapotharakos, our Financial Controller. For those of you that just joined, please note that we have posted a slide presentation for this conference call, which you will be able to download in PDF by clicking on the banner titled fourth quarter earnings conference call, located on the homepage of our Web site. The same presentation can also be accessed from our Investor Relations page under the Webcasts & Presentations menu. Let me quickly refer everyone to slide two, which contains the disclaimer about any forward-looking statements, which should be noted in the context of this conference call. Before starting with 2014 financial results, I would like to reiterate the last paragraph of my commentary from our yesterday’s press release. Based on our cash flow projections for the year-ending December 31, 2015, cash on hand and projected cash flows from operating activities, would incorporate our most prudent assumptions over the freight-rates for the remaining of the year. These might not be sufficient for us to be in compliance with the minimum liquidity requirement contained in certain of our loan and credit facilities, or to cover scheduled debt payments during 2015. We are currently planning to strengthen our balance sheet, improve our liquidity position through restructuring our loan and credit arrangements and to finance our operations through the sale of equity, including a potential write offering incurring debt or other financing alternatives. Let’s start now on slide number three that will bring you up-to-date with our 2014 financial results. Our net income for the quarter came to $3.17 million, while our net revenue to $4.4 million. Our EBITDA was $1.4 million and average TCE rate was $5,907 per day per vessel. While our operating expenses decreased to $4,335 per day per vessel and our fleet utilization rate reached 98.8%. If you look at our annual numbers, you will see that our net income for the year came to 3.2 million, while our net revenue decreased to 22.1 million. Our EBITDA was $9.9 million and our average TCE rate was $7,969 per day per vessel. While our operating expenses came to $4,432 per day per vessel and our fleet utilization rate reached 99.5%. I would like to point out, at this moment, that both our annual and quarterly financial results were positively influenced by approximately 4 million revaluation increase in the value of our vessel Tiara Globe that was previously treated as held-for-sale, and therefore, valued on a mark-to-market basis while now it is part of our normal depreciated assets. This change occurred as despite our best efforts to sell the vessel three-times during the last years, and sell did not materialize. We continue our efforts to sell the Tiara Globe and expect to have sold it before the expiration of its loan in November 2015. Moving on to slide number four, our operating highlights. You will see that, both the quarterly numbers as well as the annual ones are on similar levels with those of 2015. For the fourth quarter, the Company’s fleet had 644 ownership and available days, 620 operating days, and thus producing a utilizing figure of 98.8%. For the year, the number amounted to 2,555 ownership days, 2,513 available days and 2,500 operating days. The utilization factor for the year was 99.5%. For the quarter, the average daily time-charter equivalent rate reached $5,907 per day per vessel versus an average daily time charter equivalent rate of $7,969 per vessel per day. While daily operating expenses for the quarter reached to $4,335 per vessel per day versus $4,432 per day per vessel for the year. Regarding dry-dockings, please note that during the fourth quarter we dry-docked the Sky Globe in China for a total cost of $650,000. For 2015, we have three remaining dry-dockings to occur those of the Star, River and Sun Globe, while the dry-docking of the Energy Globe was completed in January 2015. Slide six will show you our fleet and its employment profile. We have remained at seven vessels, whilst the average age of the fleet, as of December 31, 2014, was 8.1 years. You will notice that all the vessels trade in the spot market and that we have taken delivery of the Jin Star after its five year variable charter expiration last January, the vessel has been renamed Energy Globe in-custom with Company’s naming policy. Please note that the TCE rate that you see on the trade-book is a snapshot of what the fleet earns today. The numbers that appear are gross rates, meaning that they include brokers’ commissions and exclude any balancing costs and/or idle periods, meaning that time charter equivalent rate could be smaller than the one showed. We have attempted to alter our chartering profile by securing some medium-term time charter coverage for 2015. However, the rates offered by the market were not adequate in order to proceed, and thus we continue with 100% exposure in the spot market. The dry-bulk market was especially weak as Chinese importing month for iron-ore and coal remains subdued. Consequently, dry-bulk rates reached lows not previously experienced in the last 30 years. Although, dry-bulk rates has been weaker than we had anticipated, we believe that market conditions has troughed and charter rates should begin to improve over the coming months, providing the catalyst for improvement in the dry-bulk industry. In conjunction with the recent weakness in dry-bulk shipping rates, the scrapping of vessel has been taken place at an extreme rate. Thus far in 2015, 168 vessels have been scrapped, totaling 12.9 million deadweight. If we project this rate on an annualized basis, over 4% of the fleet would have been scrapped this year, resulting in a net fleet growth likely to be around 3%. Obviously, this is not the most ideal scenario for dry-bulk ship owners, because it requires continued weakness in rates. But it does serve to dramatically reduce oversupply concerns and ultimately set the table for eventually stronger market conditions. Nikos will now take over in order to discuss our financial results in more detail, before I turn in order to answer any questions that you might have.
Nikos Kalapotharakos: Thank you, George. I will now discuss, in more detail, the financial results of the Company for the year-ended December 31, 2014. I will focus on the Company’s annual performance rather than its performance during the fourth quarter of 2014, because I believe that the annual results are considered to be as more representative. Detailed information on the quarterly and yearly results, of course can also be found in yesterday’s press release. So, let’s turn to slide number seven, which corresponds to the Company’s profit and loss for the periods under discussion. Daily results and the operational highlights can be found at slide number four. While slide number eight, you will find the graphical representation of the Company’s performance for the periods under discussion, compared to the corresponding periods in the prior year. During the year-ended December 31, 2014, our revenue decreased by approximately 10%, reaching 26.4 million versus 29.4 million during the same period last year, mainly due to the decrease in the average time-charter rates achieved by our vessels during the year 2014 compared to the prior year. Our time charter equivalent rate for the year 2014 amounted to $7,969 per vessel per day against $9,961 per vessel per day last year, corresponding to a decrease of 20%. Our time-charter equivalent rate for the year 2014 was also negatively affected by an increase in our voyage expenses. Voyage expenses increased by 1.4 million, and amounted to 4.3 million during the year 2014, against 2.9 million during the year of 2013, approximately 63% of voyage expenses or 2.7 million, constitute the cost of bankers’ consumption during periods that our vessels travelled seeking employment against 1.4 million consumed the prior year. Vessels operating expenses for the year 2014 amounted to 9.7 million or $4,432 per vessel per day versus 10 million or $4,580 per vessel per day during prior year, corresponding to a decrease of 3%, thus making evident our continued efforts towards operational efficiency. Total administrative expenses amounted to 2.5 million for both years 2014 and 2015. This figure includes administrative expenses payable to third-parties, administrative expenses payable to related parties and share based payment expenses. Now adjusted EBITDA for the year 2014 amounted to 9.9 million against 14.1 million achieved during 2013, corresponding to a decrease of 30%. The decrease was mainly attributed to the decrease in our net revenue by 17% or by 4.4 million during 2014 compared to the respective period last year. Depreciation and amortization expense for the year 2014 decreased by 0.4 million and amounted to 6.9 million versus 7.3 million recognized during 2015, corresponding to a decrease of 5%. This figure includes depreciation expense with reference to the vessels cost, depreciation of dry-docking costs and amortization of the fair value of time-charter attached to vessels acquired by the Company, which is amortized on a straight line basis over the remaining period of the charters. The decrease in the depreciation and amortization expense was mainly attributed to the decrease in amortization of the fair-value of the time-charter attached to the vessel, Moon Globe, while expired during June last year. For the year-ended December 31, 2014, we recognized an impairment reversal of 2.2 million with reference to the vessel Tiara Globe. Now, that is because, as of December 31, 2014, the Company decided that the vessel no longer met the criteria to be classified as held-for-sale, and was subsequently measured at its estimated recoverable amount of 13.6 million, which corresponds to its estimated value in use at that date. The aforementioned treatment results in impairment reversal of 2.2 million for the year ended discussion. Interest expense and finance costs decreased by 1.5 million to 2.1 million during the year of 2014 from 3.6 million during 2015, mainly due to the termination of our five-year shop agreements during November 2013 and the decrease in our average bank debt from 98.7 million during 2013 to 88 million during the year-ended discussion. As a result of the aforementioned, we’ve achieved a net income of 3.2 million for the year of 2014 versus a net income of 5.7 million achieved last year, corresponding to a decrease of approximately 44%. Now, let’s turn to slide number 10, which corresponds to the Company’s cash flows for the year. Net cash from operations during the year 2014 amounted to 9.5 million against 12.4 million during the previous year, corresponding to a decrease of 23%, mainly attributed to the 30% decrease in our adjusted EBITDA as already discussed and to the increase by 0.7 million of the dry-docking costs incurred during the year 2014. While at the same time, the aforementioned negative effects were reduced by an improvement in our working capital amounting to 1.6 million. Now, net cash used in financing activities during the year 2014 amounted to 9.3 million and consisted of 12.4 million of debt repayments, 2 million of interests and other finance costs, 0.4 million of preferred dividends paid, less 5.5 million cash inflow with respect to our shareholders’ loan facility this is called Firment Facility. As of December 31, 2014, our cash and bank balances and bank deposits were 6.1 million, while we had outstanding borrowings at an aggregate of 84.6 million net of an amortized debt discount. On slide number 11, you will find information on our liquidity position as of the end of December 2014. And on slides number 12 and 13, you will find information on the movement in our net debt and reconciliation of our net debt to cash from operations. Now for the page concerning developments that took place during 2014 and for the period until the date of this presentation with respect to our indebtedness. Please read the respective section in yesterday’s press release, that’s in bullets. During 2014, we have reached agreements with our major banks, Credit Suisse and DVB Bank, on the reduction of our minimum liquidity requirements and to another financial covenants and thus as of December 31, 2014 we were in compliance with all covenants arising from the aforementioned facilities. During December 2014, we have reached an agreement with Firment Trading Limited, a company that is related through common control with us, to increase its credit limit from 4 million to 8 million and to extend its final maturity dates from December 2015 to April 2016. In addition, during March 2015, we partially refinanced the Credit Suisse facility through entering in a new loan facility with HSH Nordbank for an amount of up to 30 million. The new facility bears interest at a LIBOR plus margin of 3% for interest periods of three months and is payable in 19 equal quarterly installments of 0.7 million, starting June 2015, as well as a balloon payment of 16.2 million due together with the final installment due in March 2020. Following the drawdown of 29.4 million from the HSH Nordbank, we prepaid 30 million to Credit Suisse facility, reducing the balance due to Credit Suisse to 5 million, which is payable in two equal semi‐annual installments of 0.7 million, starting May as well, as a balloon payment of 3.7 million due together with the second and final installment due in November. Now, I would like turn the floor to George, so we can move on to the Q&A.
Georgios Karageorgiou: Thank you, Nikolas. Operator, you can open the floor to questions.
Operator:
Georgios Karageorgiou: I would like to thank everybody who participated on this conference call. And I am looking forward to talking to you again in about a month’s time with the results of the Q1 2015. Thank you very much.
Operator: Thank you. That does conclude today’s conference call. Thank you all for participating. You may now disconnect.